Operator: Good afternoon, my name is Casey and I will be your conference operator today. At this time I'll like to welcome everyone to the Sunoco Second Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question-and-answer session. [Operator Instructions]. I'll now like to turn the call over to Mr. Terry Delaney, Vice President of Investor Relations. Please go ahead.
Terence P. Delaney - Vice President of Investor Relations and Planning: Thank you Casey and thank you and good afternoon everyone and welcome to Sunoco's quarterly conference call, where we will be discussing the company's second quarter earnings that were reported last evening. With me today are Tom Hofmann, our Senior Vice President and Chief Financial Officer; and Tom Harr, our Manager of Investor Relations. As part of today's call I would direct you to our website www.sunocoinc.com where we have posted a number of presentation slides. I'll be making reference to a number of them today to help highlight and supplement some of the commentary and statistics are included in our release. So if you haven't already done so I would suggest that you go there now and be ready to refer to them as I progress to my remarks. To start for purposes of facilitating a good discussion, I would refer you to the Safe Harbor statement referenced in slide 25, and as included in last night's earnings release. In the course of our remarks and the subsequent Q&A, we may be making some forward-looking statements. While we feel that the assumptions underlying these statements are reasonable, our company and our businesses are subject to a variety of risks and uncertainties which are highlighted there in slide 25. Now turning to the second quarter, Sunoco reported last night net income of $82 million which included two favorable special items. An $11 million after tax insurance recovery related to MTBE litigation and a $10 million settlement of this year's related to a state tax audit. Excluding these special items, Sunoco's net income as noted in slide 2 was $61 million or $0.52 a share. Our refining and supply segment earns $32 million, profitable and significantly improved from the $123 million loss in the first quarter of this year, despite a record rise in crude oil prices, continued weakness in gasoline demand and maintenance activity throughout our system. Our non-refining businesses contributed $47 million and the strength of logistics in Coke earnings as rising feedstock costs squeezed margins and profitability in retail marketing and chemicals. I'll come back to the non-refining business performance in a moment, but first let me address refining and supply, which as I said earned $32 million in the second quarter. As summarized in slide 4, while results were seasonally improved from the first quarter of this year, they none-the-less were far lower that the second quarter levels seen in the last years and those are Northeast and Mid-continent systems, realized margins were significantly lower than a year ago, particularly for gasoline and for bottom of the barrel products, due to the combination of the sharp rise in crude oil costs throughout the period and the impact of lower year-on-year gasoline demand. Operationally, crude unit utilization for the quarter was 84% of rated capacity and net refinery production was 76 million barrels, about 10 million barrels lower than what you would call our historical maximum levels due primarily to planned and unplanned maintenance activity. In those systems we also limited rate to time to optimize our crude and productions slate given the margin environment. Within this margin environment we were able to meaningfully increase our yield of distillate fuels versus other lower value products during the quarter. If you move now to slide 5, you will see our Northeast refining percentage yield of distillate was up with 37.8% in the second quarter versus 34.5% in the second quarter of last year, while the percentage yield of residual fuel decreased to a record level of 7.5% versus 9.1% in last year's second quarter. In the Mid-continent, two enlarged parts were another record quarter for jet fuel production at our Toledo refinery the distillate yield in the Mid-continent reached 40% of net production versus 31% in the second quarter of '07 while the yields for gasoline for which margins were significantly lower was pushed down to 42% versus 51% in the second quarter of last year. In the aggregate with the distillate values approximately $45 to $50 a barrel over residual fuels and $20 to $25 a barrel over gasoline, this yield shift related to these barrels which represented approximately 3 million barrels was significant contributor to refining and supply results that I would estimate as being about $75 million after-tax during the quarter, and what resulted in it... in what was otherwise a very difficult margin environment. If you move to slide6 to 9, we again lay out comparisons of the regional benchmark margins versus our realized refining margins. As a general comment, realizations in both systems were lower than the benchmarks due to higher cost of our actual crude purchases. The things like transportation, quality differentials and the timing impact of rising food prices, and lower margins on some of the bottom of barrel products not reflected in the benchmark margins. These variances were partial offset by the favorable changes in the production mix versus prior periods. The numbers are detailed in the slides, but let me make a few comments first about our crude cost. In the Northeast and there I think if you move to slide 6 and 7, you will see our actual crude acquisition cost were $5.81 a barrel more than the Dated Brent $1.25 above market we used. The primary reasons for the higher then benchmark costs were high marine transportation costs that were more $3 a barrel above the $1.25 in the market. And the timing impact of how we priced crude relative to a calendar day average benchmark which accounted for much of the rest of the delta. Related to that timing component, our foreign crude purchases are prized on five day like to when we take trade-off [ph] which means that the cost of crude purchases in late June are impacted by pricing into early July. In the second quarter of '08 the difference in pricing between the first five days of April and the first five days of July was about $40 a barrel; it's a very, very material difference versus a calendar average quarter benchmark. In the Mid-continent, as reflected on slides 8 and 9, our actual crude costs for the second quarter were approximately $3 a barrel, higher than the WTI plus $0.75 a barrel benchmark we used, mainly due to quality differentials; due to the continuing operating problems with up graders in Canada and strong demands for the Canadian Syncrude in crude. Prices relative to WTI again increased only approximately 60,000 barrels a day of Syncrude that we ran in Toledo during the quarter. Turning to the product side. Our second quarter margin realization versus benchmark crack spreads was negatively impacted particularly in the Mid-continent by the loan value of products whose pricing is not directly tied to crude oil and not in the benchmark, such as propane, residual fuel and a small amount of petroleum Coke produced in our Tulsa refinery. None-the-less, as discussed earlier, we did benefit in both the Northeast and Mid-continent from successful efforts to maximize the production of high margin distillate and minimize residual fuel and lower margin gasoline. Now let me to our non-refining businesses where the earnings contribution was $47 million in the quarter. If you turn to slide 10 and 11, I'll comment on each of these businesses individually. Retail marketing was breakeven in the quarter. Retail gasoline margins averaged $0.704 per gallon across the network, but we're significantly below breakeven for the first part of the quarter as wholesale prices rose through most of April and into May. Slide 10 shows that wholesale gasoline prices illustrated here by New York Harbor spot unleaded regular, rose by more than $1 a gallon from a low of $2.36 a gallon at the end of March to $3.40 a gallon on June 12, and this significantly squeezed retail gasoline margin during that period. In addition, we continued to see evidence of weaker gasoline demand in our network. Total gasoline sales line were about 3% lower than the second quarter of '07 with gasoline sales volumes at our company operated and dealer locations down similarly. In chemicals, we earned $3 million for the quarter, down from the $18 million earned in the first quarter of '08. As in retail marketing the rising crude oil prices led the sharp increases in feedstock costs for the business that proved difficult to fully pass on the customers. As illustrated in slide 10, prices for refinery grade propylene which is a primary market indicator of the feedstock cost for our polypropylene business and along with benzene is also a key feedstock for our phenol business, rose approximately $0.16 per pound from March to June with increases every month. Volumes were limited during the quarter due to combination of plant maintenance, feedstock availability constraint and continued weak economic conditions. If you now turn to slide 11, logistics in Coke again made very strong contributions. Logistics earned $21 million driven by another record quarter for Sunoco Logistics Partner LP. I think their earnings announcements in conference call a few weeks ago provided a good detailed discussion of its quarterly performance which was led again by another strong quarter in the Western Pipeline System. Sunoco Logistics Partners also announced an additional $0.04 per unit increase to its quarterly distribution with this increase the annualize cash flow to Sunoco from its GP and LP interest in Sunoco Logistics is now approximately $80 million annually. Coke, another good story earned $23 million for the quarter again reflecting a higher earnings base versus prior years from which we expect continued growth. Some updates on the growth efforts. First, the construction of our second Coke plant in Haverhill Ohio is now complete and we are in the start up phase for that facility, with full production rates expected by the fourth quarter and full power generation by year end. Regarding our other announced projects, instruction on the Granite City Illinois facility continues on schedule for targeted start up by the end of 2009 and we are in the final stages of permitting in Middletown Ohio, where we hope to begin construction later this year for a plant there. With respect to earnings guidance for the second... for 2008 with the completion of the second Haverhill project and the impact of higher coal prices for our June operations in the second half, we now expect the Coke business to earn approximately $110 to $115 million for full year 2008. As we get closer to the end of this year, we will have a better idea of our contracted coal prices for next year and we'll provide an update to our expected 2009 earnings for Sunoco at that time. Finishing out on non-refining discussion, corporate expenses were $11 million after-tax and net financing expenses were $7 million after-tax in the quarter. Corporate expenses reflect lower accruals for performance based incentive compensation, while financing expenses were up from the first quarter of this year primarily due to lower interest income. If we move now to the outlook, so far in the third quarter of '08 despite a decline in crude oil prices, refining margins and particularly gasoline margins have continued to be weak. I will say our operational focus for the third quarter will be to expand our slate light-sweet crude oil feed stocks to include a greater number of grades at traded prices lower than some of the West African crude's we typically purchased. As you can see if you look slide 13, we plan to significantly reduce purchases of Nigerian source crude in the third quarter to approximately 90,000 barrels a day versus historical levels of over 300,000 barrels a day. At the same time we will continue our efforts to optimize our product yield to maximize distillate production. In conjunction with this, while we have no major plant maintenance schedule for the balance of the year, we expect the crude utilization across our system will reflect economic run cuts consistent with the current challenging market conditions. In our non-refining businesses for the third quarter, margins in retail marketing have improved significantly in July and into August with a rapid decline in wholesale prices. These start costing chemicals, which tend to lag crude price changes should also moderate some later in the quarter. Coke and logistics should be comparable to second quarter levels. Financially, the balance sheet remains sound, as of June 30th, our net debt to capital ratio was 37% with approximately $200 million of cash on hand and $1.1 billion of unused revolver capacity, providing the flexibility to meet our requirements and execute our capital program for 2008. We expect our 2008 capital spending to be approximately $1.4 billion excluding any acquisitions by Sunoco or Sunoco Logistics, but including approximately $300 million of Sun-Coke Energy spending on its various growth projects. One last item of interests, we are continuing to evaluate our options with respect to the Tulsa refinery, including our potential sale, while we have nothing definitive to report at this time. We would expect this process and evaluation to be concluded later this year. So with that, I would now ask the moderator to open up the lines for any questions you might have. Question And Answer
Operator: [Operator Instructions]. Your first question comes from Neil McMahon of Stanford Bernstein.
Neil McMahon - Stanford Bernstein: Hi guys, a few questions. It looks like you've been pretty active in terms of managing your runs in the quarter, and any guidance on your active management going right into the third quarter level, what should we expect for utilization rates and growth system. And have you be changed anything in a active way you've been managing those runs specifically to reduce your residual fuel?
Terence P. Delaney - Vice President of Investor Relations and Planning: Neil, I think the best guidance I can gave you on that is rather than giving you a specific number for the third quarter is to say that conditions haven't changed a whole lot relative to the second quarter, and while we had some planned and unplanned maintenance during that quarter, I don't think given the market conditions then that we would have run significantly more than we did in the second quarter. So, I can't tell you that in July we ran our overall system at rates in the high 80's and I think that's kind of reflective of the kind of market we're involved in right now, but the market conditions will be permanent.
Neil McMahon - Stanford Bernstein: Just a few more. On chemicals again, any further strategic reviews about the chemical assets and the strategy going forward and potential that's fuels [ph] a different model for that?
Terence P. Delaney - Vice President of Investor Relations and Planning: Neil, I think not now really anything new to report at this time. I think all of our strategic options remain on the table and under review and I'm sure that'll be something that we'll be reviewing in short order with Lynn when she gets on board here tomorrow.
Neil McMahon - Stanford Bernstein: And just a final one, just looking at your corporate call, outside any changes to like compensation and things like that. So we're going on in the quarter. How much activity have you spent in terms of reducing that the corporate cost and how active have you been there and what would we take for guidance going forward at that level?
Terence P. Delaney - Vice President of Investor Relations and Planning: I think Neil with respect to corporate cost side, I guided to a number of similar what we've seen in the first half of this year the main variable element of those cost are incentive oriented compensation to the extent our share price moves up we'll have some extensions to recruit on stock price related compensation but generally speaking other than those type expenses things are relatively flat quarter-to-quarter.
Neil McMahon - Stanford Bernstein: Great, thanks a lot. That's all I have got.
Terence P. Delaney - Vice President of Investor Relations and Planning: Sure.
Operator: Your next question comes from Jeff Dietert of Simmons.
Jeff Dietert - Simmons & Co.: Good afternoon.
Terence P. Delaney - Vice President of Investor Relations and Planning: Hi Jeff.
Jeff Dietert - Simmons & Co.: Could you talk a little about your Northeast crude procurement, there is big shift in Nigerian crude's was there a contract that expired or what contributed to the change from the second quarter to the third quarter?
Terence P. Delaney - Vice President of Investor Relations and Planning: Sure Jeff, it's really not contract related it's economics or market related and its... if you think about a little bit we're constantly buying and committing to these crude's six or eight weeks ahead of actually receiving them and we've been walking down that path and reducing our rates with Nigerian crude's a little bit as the year going on in part because as the year's going on the quality premium that we've been paying for them has been increasing now. The distillate rich crude and that they've been helpful and they've been incentive and LPs to be the proper crude's to run earlier in the year, but as we looked out particularly post what we've seen in the gasoline season and the rates that were overall running the overall system, economically they at the premiums that they were trading at least six to eight weeks ago, they were not the preferred crude for our systems. So while we're still in that, if you will pretty light-sweet crude basket we have spreaded around a little bit and we'll have lower at least relative to our benchmark kind of crude cost in the third quarter than we did earlier this year.
Jeff Dietert - Simmons & Co.: What types of crude's are you shifting towards? What specific types?
Terence P. Delaney - Vice President of Investor Relations and Planning: There is crude coming out of either the Caspian, or the West African crude's, some Eastern Canadian crude's Jeff, things like that may replaces like that.
Jeff Dietert - Simmons & Co.: It looks like just within the last week or so, burning light in some of the Nigerian crude's come off materially relative to previous premiums. So, perhaps you are having some influence there as well?
Terence P. Delaney - Vice President of Investor Relations and Planning: When the economics are right, I am sure we will be back in that market as well.
Jeff Dietert - Simmons & Co.: Good. On the Coke business, you've got some price exposure, most of the Coke has been setup on the fee basis, but there is some price exposure there that I think you mentioned was part of the increase in the '08 expectation how do we think about quantifying how much exposure you have there?
Terence P. Delaney - Vice President of Investor Relations and Planning: That's simply Jeff, and I would say it's more our exposure to that is more in '09 and beyond and most of it most of is really come from coal prices, most of the coal prices have been set already for '08, there are some coal contractor we are entered in to that or not being fully supplied that are leading us to go into the stock market and getting better prices for our coal but it not simply for '09 and beyond. I would tell you that I think the best things I could say is we put out some guidance in early June that had a coal income projection for the next five years, I would stick with that as I said later this year we'll be able to update you on '09 because in fact a lot of the contract pricing for '09 will settle in the next few months. But essentially our leverage comes from about a million tons of coal and of our dual facility that are made in... that is made in the 700,000 tons of coke and we'll get some market related price on then next year that will be certainly higher than what we received in '08.
Jeff Dietert - Simmons & Co.: So the guidance that you provided in early June would have an upward bias associated with it?
Terence P. Delaney - Vice President of Investor Relations and Planning: Right now yes, right now the market price you're right and the contract price for coal is a bit higher than what we did then so yes.
Jeff Dietert - Simmons & Co.: And then the propylene price as you showed a graph of what's how those prices have evolved over the last four months in now in July and August if those flattened and declined?
Terence P. Delaney - Vice President of Investor Relations and Planning: Not really in... not really in July Jeff they tend to lag by a month or so and actually in July they went up but the expectation would be here in August and September that we would see some relief in that.. and so I'd say the benefit of the moderating crude prices is certainly more impact full in retail marketing then it is in chemicals for us in the third quarter.
Jeff Dietert - Simmons & Co.: Thank you, Terry.
Terence P. Delaney - Vice President of Investor Relations and Planning: Yes,Jeff.
Operator: Your next question comes from Mark Gillman with The Benchmark Company.
Mark Gillman - The Benchmark Co.: Hi guys good afternoon.
Terence P. Delaney - Vice President of Investor Relations and Planning: Hi Mark.
Unidentified Company Representative: Hi Mark.
Mark Gillman - The Benchmark Co.: A couple of things there is a distillate shift in the Mid-continent was very, very large and can you talk just for a second about what you did to achieve that?
Terence P. Delaney - Vice President of Investor Relations and Planning: Mark I think the biggest thing that we can point to is it to remember we did that deep bottlenecking or what we called master simplification project mid-last year at Toledo where we looked to get about 15,000 barrels a day more jet fuels production and in fact that's what we've been able to achieve so in the Mid-continent its less crude slate related and is to the configuration changes that we made in the middle of last year.
Mark Gillman - The Benchmark Co.: Okay. In terms of the crude slate shift Terry that you talked about visibly in Northeast. Will the alternate crude's that you are moving towards still have the same five day lag in terms of rising features?
Terence P. Delaney - Vice President of Investor Relations and Planning: Yes. I expect so Mark.
Mark Gillman - The Benchmark Co.: Okay. And one more if I could, if my records are correct it looks to me you have just added 32 retail stations over the course of the core. Is that correct and if so why?
Terence P. Delaney - Vice President of Investor Relations and Planning: It may be, we certainly did not acquired 32 more stations during under quarter Mark. It may be that some sites that were not in full operation or we're not in operation and not in the first quarter came back in the second quarter but I'll have to get back to you on that.
Mark Gillman - The Benchmark Co.: Okay Terry, thanks very much.
Operator: Your next question comes from Chi Chow with Tristone Capital.
Chi Chow - Tristone Capital: Good afternoon.
Terence P. Delaney - Vice President of Investor Relations and Planning: Hi Chow.
Chi Chow - Tristone Capital: Back on the crude slate change, would you say that this is a structural shift in strategy or is it just limited to.
Unidentified Company Representative: You're breaking up,
Unidentified Company Representative: Was it a structural shift...
Chi Chow - Tristone Capital: It was a structural shift ongoing in future course or its just kind of a third quarter event that you're changing that obviously.
Unidentified Company Representative: In Nigeria, there?
Unidentified Company Representative: Nigeria I would say is not a structural shift again I'd like to emphasize as really economically driven market driven, I mean we're constantly for various reasons trying to expand our sources and suppliers and potential crude slates and as the economics have driven us to test some of these other alternatives, I think it's just a good thing to have the added flexibility but I would not take that I mean we won't necessarily be back in that specifically that Nigerian market again to a similar extend in the future.
Chi Chow - Tristone Capital: So you could just ramp by back up the 300,000 barrels a day plus and same in fourth quarter?
Unidentified Company Representative: Sure, Yes. How do you hear it Chi?
Unidentified Company Representative: Sorry, I mean I have not [indiscernible]. Is anyone there?
Unidentified Company Representative: Yes.
Chi Chow - Tristone Capital: Okay. Was there any impact of hedging or how much impact of hedging was there in the margins this quarter?
Unidentified Company Representative: Chi we didn't there was really no impact of hedging, we do very little hedging, we're kind of naturally balanced as we look across our portfolio between the refine products that we have and crude that we have so, unless we're either operationally out or sink or seasonally have unusual inventory balances we're not doing any hedging.
Unidentified Company Representative: Okay. Hey Tom, the debt levels increased during the quarter was that a drawn the revolver?
Unidentified Company Representative: I am sorry, can you I think I didn't hear the last part of that.
Chi Chow - Tristone Capital: Yes, the debt levels increased during the quarter; just wondering is that a draw on your revolver?
Unidentified Company Representative: Yeah, there were about a hundred on the revolver.
Chi Chow - Tristone Capital: Okay. And how's that going to trend going forward?
Unidentified Company Representative: I am sorry, Chi we lost you again.
Chi Chow - Tristone Capital: Sorry, how's that going to trend going forward, your debt level in the back half?
Unidentified Company Representative: Obviously that will be dependant on earnings but we expect Chi that as we have said for years now we'll be in that roughly 40% debt to capital range so that would be the expectation.
Chi Chow - Tristone Capital: Okay. And one final question, we found today that the Yorktown refineries potentially up for sale that's something you guys may take a look at?
Unidentified Company Representative: Yes Chi, as usual we're not going to comment on any potential acquisitions or anything of that nature so I passed on that.
Chi Chow - Tristone Capital: Okay, all right thanks a lot.
Operator: Your next question comes from Jack More [ph] with Hartsville Capital [ph].
Unidentified Analyst: Good afternoon thanks so much. With respect to the short term borrowings I request regarding that if you could just comment a little bit more on in this environment where you see them going and then just can you comment on the current environment and how that may impact CapEx explains and what you see going forward and then finally if you could comment on what do you see share count going for the rest of the year?
Unidentified Company Representative: Let me try and tackle and some of them I mean clearly I don't have a projection exactly for what cash flow will be in the second half of the year, so much will be earnings driven and other factors. I think I would reiterate Jack is that we ended up and we ended June at $200 million cash and $1.1 billion of unused revolver capacity, which further say that from a capital standpoint we also end the second quarter with about 2 million more barrels of crude then we will normally have and about 3 million barrels less crude payables then we normally have. So the lead establishment of those two to more normal operating levels throughout would be a source of funds us from a working capital standpoint in the second half of the year. So our short term borrowings will be tapped if and as needed to complete the capital program that I laid out I think in my comments, that include continue spending on coke, some spending on environmental and to some degree spending for our refining and supply. New restarts of a hydro cracker for next we will be spending some amount, so but think that we have plenty of capacity to complete up our capital program this year we have lowered our overall capital spending in refining and supply by about $150 million from what we had planned earlier this year, and I know that they are looking hard and scrubbing hard to see if there is more that can be either eliminated of deferred in this challenging environment. I think with respect to the share count you saw that we do not buy any share repurchased in the second quarter and I guess at this point in time I think priority number one is strength of the balance sheet.
Unidentified Analyst: Great thanks, congratulation on a nice quarter.
Operator: Your next question comes from Paul Cheng with Lehman Brothers.
Paul Cheng - Lehman Brothers: Hi guys.
Unidentified Company Representative: Hi Paul.
Unidentified Company Representative: Hi Paul.
Paul Cheng - Lehman Brothers: Terry and Tom and one of your competitors since that they have decided to permanently reduce their inventory because they think demand is going to be lower, have you guys take a look on that to see that if there is any opportunity there.
Terence P. Delaney - Vice President of Investor Relations and Planning: Yes Paul, we had that incentive $70 crude and certainly we have that incentive in $120 crude, but I have to say we generally try to run it as closed to just in time as we can, but as again as we lower operating rate by definition we might be able to have lower crude and refine product inventory as well. But I would also caution you that the only get to keep what's permanent and particularly I'd also on the crude side if we lower our crude inventory but loose the corresponding crude payable, it doesn't really help us from a net cash stand point. From a refine product side we are always trying to run at minimal inventories but we have a lot of products in transit to be sold and we want to make sure that is the market structure incenses to hold some inventory we'll do that if the market structure not there, we're going to have a refine product inventory as well as we can, but a long answer to a short question what we're looking at and I wouldn't need to expecting up to have any ability to significantly reduce that.
Paul Cheng - Lehman Brothers: Okay. On winter on do you think that July has been again that's a month, I was wondering Terry, if you can quantify some what's as that compelling to the second quarter average with $0.10 per gallon that in margin or $0.07, I mean any comp number you can share?
Terence P. Delaney - Vice President of Investor Relations and Planning: Perhaps that I can share, Paul, but I can directionally tell you that the retail margins are as good as any retail margins we've seen from the... since, probably the third quarter of 2006. It's a very, very strong.
Paul Cheng - Lehman Brothers: Are theystronger then the third quarter?
Terence P. Delaney - Vice President of Investor Relations and Planning: Excuse me?
Paul Cheng - Lehman Brothers: Stronger than the third quarter of 2006, I mean that quarter that you earned $77 million I think in the retail?
Terence P. Delaney - Vice President of Investor Relations and Planning: It's a very strong start Paul what I said that you have good benchmarks on these things and a good correlation to have results, I am sure you'll do a good job.
Paul Cheng - Lehman Brothers: And you'll not refer to ask. On the new earning guidance what's the forth quarter 2008 implied coal price that you guys use?
Terence P. Delaney - Vice President of Investor Relations and Planning: PaulI don't have that number at my fingertips and I would also tell you that its mixed in with a lot of Coke that's... coal that's already been contracted its mixed in with some coal that is supplied by the customers themselves and its reflective of the current market price so, I think the best I would tell you is go with the guidance that for the year it will be in a 110 to 115 and we'll provide you an update for next year as you said that in the forth quarter.
Paul Cheng - Lehman Brothers: Okay. And can you remind me that I think next year that in your earnings guidance of $195 that's based on a $125 per ton right?
Terence P. Delaney - Vice President of Investor Relations and Planning: Right, that's a general coal contract price, that's correct.
Paul Cheng - Lehman Brothers: Okay. And Terry you were talking about, you guys are going to diversify your crude slate I presume that that is going to lead to a relatively lower crude purchase cost, so far in the quarter comparing to the second quarter are we the crude purchase cost versus the benchmark or we better by $1-$2, any comp number?
Terence P. Delaney - Vice President of Investor Relations and Planning: I would estimate Paul that for the third quarter and the standpoint of that quality differential, we would probably be close of $2 a barrel better in the second quarter.
Paul Cheng - Lehman Brothers: Okay. And is it you just a little [indiscernible] so would been the Mid-continent that we should assumed because Mid-continent is also prepared on your crude purchase in the second quarter?
Terence P. Delaney - Vice President of Investor Relations and Planning: I would rather give you numbers for the Mid-continent Paul it should also be directionally lower its for no other reason and the market structure has moved a little bit more in the content end I think the relative sweet-crude premiums have come down a little bit. So I think we'll be a little bit better there as well but not quite as much as the Northeast system.
Paul Cheng - Lehman Brothers: Okay. Finally I think you touch space on to capital spending. Any kind of update that you can share with us that for 2008 and 2009. Any changes and also that what will be the sustainable capital or minimum capital requirements for maintenance for the turn around for the and momentous spending or the whole.
Terence P. Delaney - Vice President of Investor Relations and Planning: Paul I think we have to respect the 2009. I don't have another update for you until like we normally do probably early December. Do at this point of time, I wouldn't change that a whole lot for 2008 as I said in the script, we're looking at a total for the year of about $1.4 billion and included in that $1.4 billion is about $300 million of absolute growth spending in Coke, about a $100 million of absolute new asset standing in Sunoco logistics and about a $150 million less than we had planned for the year in refining and supply so hopefully that answers your question.
Paul Cheng - Lehman Brothers: How about in terms of if you looking out into the future or for the next few years what is the bare minimum if you lets say end of the worst case scenario you decide you going to cut order discretionary what is the bare minimum that you have to spent?
Unidentified Company Representative: Paul we are not going to really give you a number there we constantly looking at what's the best thing to do but we are always going to run these refineries safely, reliably and whatever it takes us to do that we are continue to do that so rather than give you a number I think the guidance that Terry gave is about the best that we have for right now.
Paul Cheng - Lehman Brothers: Okay, fair enough, thank you.
Operator: Your next question comes from Mark Caruso with Millennium.
Mark Caruso - Millennium: Hi guys I want to circle back on the Coke business and make sure I heard you have 1 million tones that's fully open the market pricing next year?
Unidentified Company Representative: 1 million to 1.2 million a ton yes.
Unidentified Company Representative: Just to be clear its not totally you cant just look at the stock price and say that's where we gone get for the call as Terry has explained, this is a kind of blended price of holds that on the spots they become long term contracts some is coming from elsewhere so don't just go with the expected stock price that's we're trying to say.
Mark Caruso - Millennium: Okay. And as far as that goes is this a sort of high low product as far as yes I think about net pricing that you'll get forward or is get sort of I try to gauge when I look at coal pricing obviously how long it's a discount to the record pricing that people look at at I am just trying to gate where I should think about as far as your potential.
Terence P. Delaney - Vice President of Investor Relations and Planning: It's a mid-value coal, but again without giving me all the details the place that we get to coal is related to the price of coal to the price of cold achieved one of our Haverhill plan which uses a blend alas of various types of coal and also uses some what coal we provided by their customers toward that facility so its really is it's a complicated contract and it's not directly related to those prices so I said the best guidance and again wait for us to tell you what the earnings will be and then you will have the best idea.
Mark Caruso - Millennium: And do you guys are on the domestic calendar I am assuming then, you got $2 going to domestic sources, lest think about in terms of you guys are sides to domestic customers which are usually as you said at the end of the year?
Terence P. Delaney - Vice President of Investor Relations and Planning: Yes, this is all go in the domestic customers.
Mark Caruso - Millennium: Great thank you.
Operator: You have a follow-up question from Mark Gillman with The Benchmark Company.
Mark Gillman - The Benchmark Co.: Hey Terry if my math is correct and certainly at this point newly season its possible if not probable but its not. I'm coming up to that your unit refining cost in the quarter were actually down from the first quarter which strikes me I guess its being particularly ironic given that it appears as it's a third party fuel purchases were up and operating rates were actually down, can you comment on that at all?
Terence P. Delaney - Vice President of Investor Relations and Planning: Mark, and I wish I could say you were right but I don't think you are I think our operating expenses were up a little bit first quarter to second quarter in refining, mainly due to reasons that alluded to the price of purchase fuel and even the price utility. So I have as being up pretax about $15-$16 million quarter-on-quarter and since our overall production was pretty similar we're up slightly on a per barrel basis.
Mark Gillman - The Benchmark Co.: Okay. Terry I guess I'll throw up that calculator thanks.
Terence P. Delaney - Vice President of Investor Relations and Planning: For once Mark you were felt us better than people thought.
Mark Gillman - The Benchmark Co.: Strange things happen.
Terence P. Delaney - Vice President of Investor Relations and Planning: Alright.
Operator: At this time there are no further questions.
Terence P. Delaney - Vice President of Investor Relations and Planning: Alright, well I appreciate everybody's participation and certainly myself and Tom are around for further questions. Thank you.
Operator: Thank you this concludes today's conference. You may now disconnect.